Operator: Hello, and welcome to the biote Corp. First Quarter 2025 Earnings Conference Call. All participants will be in listen-only mode. After today's presentation, there will be an opportunity to ask questions. Please note this event is being recorded. I would now like to turn the conference over to Szymon Serowiecki. Please go ahead.
Szymon Serowiecki: Thank you for joining us today. This afternoon, biote Corp. published financial results for the first quarter ended March 31, 2025. This news release is available in the Investor Relations section of the company's website. Hosting today's call are Bret Christensen, Chief Executive Officer, Bob Peterson, Chief Financial Officer, and Mark Beard, Executive Chairman. Before we get started, I would like to remind everyone that management will make statements during this call that include forward-looking statements regarding, among other things, the company's financial results, future performance, growth opportunities, business outlook, strategies, goals, mission development, manufacturing commercialization activities, competitive position, regulatory process operations, benefits of its solutions, anticipated impacts to macroeconomic conditions, business, yields of operations, pension conditions, and other matters that do not relate to historical facts. These statements are not guarantees of future performance. They are subject to a variety of risks and uncertainties, some of which are beyond the company's control. Actual results could differ materially from expectations reflected in any forward-looking statements. These statements are subject to risks, uncertainties, and assumptions that are based on management's current expectations as of today. biote Corp. undertakes no obligation to update them in the future. Therefore, these statements should not be relied upon or represented in the company's views as of any subsequent date. For a discussion of risks and other important factors that could affect our actual results, please refer to our SEC filings available on the SEC's website at the Investor Relations section of our website, as well as risks and other important factors discussed in the earnings release. Management also refers to adjusted EBITDA and adjusted EBITDA margin, which are non-GAAP financial measures to provide additional information to investors. A reconciliation of the non-GAAP to GAAP measures is provided in our earnings release. The primary differences being stock-based compensation, fair value adjustment, and certain liabilities, transaction-related expenses, and other non-operating expenses. Please refer to our first quarter 2025 earnings release for a reconciliation of non-GAAP measures to close comparable GAAP measures. I'll now turn the call over to Bret.
Bret Christensen: Thank you, Szymon, and thank you all for joining us. I'll begin by providing an update on our business and the key initiatives we announced today. And then I'll turn the call over to Bob for a review of our first quarter financials and our 2025 financial outlook. After our comments, we'll open the call for questions. In the first quarter, we generated strong financial performance with strength in our dietary supplements business more than offsetting the expected softness in procedure revenue. We experienced continued improvement in our gross profit margin, which increased 300 basis points to 74.3% due to the vertical integration of our 503B manufacturing facility. Total revenue increased 4.7%, and adjusted EBITDA decreased 3.4% compared to the same period in 2024, keeping us on track with our 2025 financial forecast for revenue and adjusted EBITDA. As we expected, procedure revenue was impacted by reduced commercial effectiveness in part due to the residual effect of the transition to our enhanced clinical decision support software as well as ongoing competitive pressures. A slowdown in new clinic additions as well as a minor decrease in procedure volumes and select reductions in average selling prices also contributed to the decline in procedure revenue. On last quarter's earnings call, I identified three areas of emphasis for 2025, which I believe are fundamental to commercial execution at a high level. The priorities were one, accelerate new providers, two, maximize value from top-tier clinics, and three, improve commercial accountability and discipline. Consistent with these comments, today we announced a strategic organizational restructuring designed to drive sustainable profitable growth and create long-term value for our stockholders. This restructuring builds on the foundational progress we achieved over the past year supporting our expanded capabilities within the hormone optimization and therapeutic wellness space. We believe that the decisive actions we are taking will enable us to scale our business more effectively and deliver a high level of financial performance.
Bret Christensen: We are focused on three major objectives. First, we intend to accelerate new provider wins to further expand our nationwide network. Second, we intend to strengthen relationships with our existing top-tier providers. And third, we intend to improve our financial performance by strengthening accountability and improving consistency and discipline through the commercial organization. Among the key steps we are implementing is the realignment of our commercial team with a goal of increasing productivity and driving new clinic growth. As part of this realignment, we are working to transition certain commercial support functions to active field sales positions, effectively increasing our field sales team by approximately 25%. We expect that our expanded and strengthened sales force will enable us to recruit new clinics at an accelerated rate and provide the dedicated support our new providers require as they build their medical practices. Additionally, we are streamlining sales leadership to ensure better communication and efficiency to drive more consistent performance across the entire commercial team. We are also updating our sales compensation structure to align incentives with our sales goals. As we direct our sales efforts to driving new clinic growth, we also recognize the importance of retaining and maximizing the value from our existing top-tier providers. Over the past year, biote Corp. significantly expanded our capabilities and product offerings, encompassing hormone optimization, therapeutic wellness, and dietary supplements. At the same time, we have expanded our education, training, and technical resources, further differentiating biote Corp. in the marketplace. By strengthening engagement with our top-tier providers, we believe we will be better positioned to reinforce our role as a trusted partner offering a science-based approach to patient care and ongoing practice building support. As I noted last quarter, we are implementing these initiatives quickly but recognize they will take time to show results. I strongly believe these actions strengthen our commercial organization through increased productivity and deeper customer engagement and improve financial performance. As we move forward with our plans, I would like to reiterate my confidence in our exceptional team and our shared commitment to execute on our strategic priorities. While we expect 2025 will be a transition year from a financial standpoint, I believe the actions we announced today are essential to accelerating our growth and enabling us to realize our full potential. I look forward to updating you on our continued progress in the quarters ahead. I will now turn the call over to Bob.
Bob Peterson: Thank you, Bret, and good afternoon, everyone. Unless otherwise noted, all quarterly financial comparisons in my prepared remarks are made against the first quarter of 2024. First quarter revenue increased 4.7% to $49 million. Procedure revenue decreased 3.6% to $36 million, primarily reflecting reduced commercial effectiveness and the slowdown in new clinic additions. As Bret noted, we are redirecting our commercial efforts to drive new clinic growth now that all of our existing clinics are utilizing our enhanced clinical decision support software. Dietary supplement revenue increased 25.5% to $9.3 million, primarily driven by the growth of our e-commerce channel. We continue to expect solid growth this year from our dietary supplements business. Gross profit margin was 74.3%, a 300 basis point increase. The improvement reflected cost savings from the continued vertical integration of our 503B manufacturing facility as well as effective cost management. While we expect to maintain strong gross profit margins, this metric has historically fluctuated quarter to quarter depending on our product mix and other factors. Selling, general, and administrative expenses increased 16.4% to $26.7 million, reflecting an increased level of investment in sales and marketing focused on driving new customer growth and professional services. Notably, SG&A expenses decreased approximately 19.2% compared to the elevated level reported in the fourth quarter of 2024 due to the absence of certain employee-related investments and legal expenses. Net income was $15.8 million, inclusive of a $10.7 million gain due to a change in the fair value of the earn-out liabilities. Diluted earnings per share attributable to biote Corp. stockholders was 37¢ per share. This compares to a net loss in the first quarter of 2024 of $5.7 million, inclusive of a $12.1 million loss due to the change in the fair value of the earn-out liabilities, and diluted loss per share attributable to biote Corp. stockholders of $0.12 per share. Adjusted EBITDA decreased 3.4% to $13.8 million, with an adjusted EBITDA margin of 28.1%. The decreases in adjusted EBITDA and adjusted EBITDA margin primarily reflected increased sales and marketing expense to drive growth, partially offset by improved gross profit. First quarter cash flow from operations was $6.5 million. As of March 31, 2025, cash and cash equivalents were $41.7 million compared to $39.3 million as of December 31, 2024. Now turning to our financial outlook for 2025. We maintain our previously stated guidance of revenue of $202 million to $208 million and adjusted EBITDA of $59 million to $64 million. For the second quarter of 2025, we expect revenue and adjusted EBITDA to be similar to slightly higher than that of the second quarter of 2024. Also, the company expects to incur a one-time charge of approximately $600,000 to $800,000 in the second quarter of 2025 due to the restructuring. I'll now turn the call back to Bret for his closing comments.
Bret Christensen: Thanks, Bob. Before we open the call for questions, I would like to say a few words. Our financial performance over the past few years has been inconsistent, falling short of our expectations and those of our investors. While I've only recently joined the company as CEO, I have been here long enough to recognize our shortcomings as an organization and what specific actions are required to drive outstanding commercial execution and financial performance. The restructuring plan we announced today represents a significant step forward with biote Corp. While it will take time to achieve our goals, and we may experience some speed bumps along the way, I am confident that we are on the right path, with the right people and with the right processes to achieve long-term success and build shareholder value. Operator, let's now open the call for questions.
Operator: Thank you. We will now begin the question and answer session. Today's first question comes from Kaumil Gajrawala with Jefferies. Please go ahead.
Kaumil Gajrawala: Hey, guys. Good evening. Can we maybe talk a little bit more about the supplements business and if there was anything maybe one-time in it? It's obviously quite a, you know, quite a result. Just want to make sure we are looking at something that's a new run rate based on the changes that you've made, or, you know, is there something maybe more temporary in there that we should be aware of?
Bob Peterson: No. No. No. Hey, Kaumil. How are you? Look, I think the biggest piece of the supplements business that we saw solid performance in was our e-commerce business. I would say it was a little bit more performed a little bit better than expected. And I think we have a solid runway in this space. And we're comfortable where we are right now in the business that we're in. So with the additional procedure growth, we could see some benefit in the space, but no one-time items in this space. Really just solid performance in the e-commerce space.
Kaumil Gajrawala: Okay. Great. And then two, let me just try to understand, you know, the procedures, number of procedures, and what happened there. You also, in your prepared remarks, mentioned competition a little bit. So there's so many there's some things that you guys are doing, obviously, as part of the process of optimizing the business, but is there anything changing in the marketplace itself that we should be aware of?
Bret Christensen: Hi, Kaumil. This is Bret. Nothing significant has changed in the marketplace at all. We highlighted the headwinds to our procedure business, and I would say it's really volume-related. And in that, we did mention competition, but competition is not new for us. That's an ongoing headwind. And like every other company, we're going to have competition. We've also highlighted in the past that our attrition has been relatively stable at around 5%, which is a great number and pretty predictable. This past quarter, we expected softness in procedure volume. And we highlighted that last call mainly due to our launch of our clinical decision support software at the end of last year. That did a couple of things. One, it slowed down meaningfully new starts. It distracted our field organization. And new practice starts had a dip at the end of last year. In annuity models, will follow us this year. We highlighted that last call and certainly we expected the contribution from new clinics this quarter to be lighter than usual. So that was probably the biggest component. Second component was really just a slight decline in volume from our base business that we believe is associated with the launch of that CDSS as well.
Kaumil Gajrawala: Okay. Got it. And are we fully deployed with that and now it's sort of a matter of time, or are we still in the process of the rollout?
Bret Christensen: No. We are fully deployed with CDSS. All of our users are using the new version. The feedback is excellent, especially from new clinics. And this is going to be, remember, this is going to be really key to us advancing in the future and making what we do more mainstream to the average physician. It's critical to get the dose right, and the new CDSS helps them do just that. So it's going to give them comfort to do pellets and to do testosterone in their practice. So it's a valuable foundation. We have no regrets about launching it. We just saw the headwind for the disruption from last year.
Kaumil Gajrawala: Got it. Okay. Great. Thank you.
Operator: Thank you. The next question comes from Les Sulewski with Truist. Please go ahead.
Les Sulewski: Yes, good evening. Thank you for taking my questions. I have three. Essentially to start off with. First one on I think we've heard about the realigning of the sales force over the past few quarters. What is different about today's realignment announcement? Is this aimed, I guess, at sales, back office, leadership roles? Or more broadly across the organization? And I have two follow-ups.
Bret Christensen: Yes. Hi, Les. This is Bret. We didn't do any realignment last quarter. So the realignment that we announced today is new, and it's the only one that we've done, frankly. So what we did was focused around growth. It was not a cost-cutting effort for us. We're not in cost-cutting mode. We're in growth mode. But what I highlighted in the last call and what you probably heard me say is we needed to change a lot of things in the organization to get us more focused and more aligned to growth. And one of those things was the alignment of our commercial organization. So we needed different territory alignments. We need different comp plans. We need everything focused on growing the business. And a little less on maintaining the business. So if you noticed in the release, one of the things that we highlighted was we effectively grew the sales team this week by about 25% as we transitioned nearly 20 people in the field from support roles to sales roles. And so that's going to be really important for us to have everybody focused on growing the business, and that was the alignment change that we announced this week.
Les Sulewski: Okay. I guess, on that front, the individuals, was it redundancies in the more on the support roles or not sales included, or is it also sales included? And I guess maybe, perhaps overall, maybe use a baseball terminology if you could. Can you help us kind of reconcile where inning you are in, I guess, CDSS implementation? The new sales reorg, although that seems to be new. And as well as vertical integration, maybe kind of line item by item if you could.
Bret Christensen: Sure. I'll let Bob take the last part of that. But as far as CDSS goes, we're in late innings if not the game is over for CDSS. So we are fully integrated with CDSS. So while we're still the only reason we're talking about it, Les, is that in this annuity model, as you know, new starts follow us for a year. So you need whatever we're doing this quarter, the contribution we get from new starts is a function of all the new clinic starts that we added over the last year. And frankly, the quality of those starts and how they started. And so CDSS just meant a decline in new starts and probably new starts that got off to a slower start than normal because, again, they were distracted and our field was distracted with CDSS. But today, we are fully implemented with CDSS. And there is no more work being done as far as rollout, system change, training, any of that. We're fully aligned and implemented with CDSS. Bob, do you want to talk about clinical integration?
Bob Peterson: Hey, Les. On the vertical integration front, I'd say we're probably in around the fourth inning, to use your baseball analogy. Look, we have not expanded too much further than we had on the last call. And a goal to not disrupt our clinics. That's a mantra that we have since the CDSS, and we are in the process now of expanding in and getting prepared for conversion, but that is I'd say, we're probably in the fourth inning. You're seeing some of the benefits now on the margin front. But that's kind of where we would I would say we are on Asteria.
Les Sulewski: Great. That is helpful. Perhaps on the supplement side, maybe, kind of talk to your exposure to tariffs potentially from API sourcing? And then second, you know, you've called out the e-commerce business being a little bit stronger than you expect. Any sort of more color on that?
Bob Peterson: Yes. So on tariffs, look, at this point, we don't see an impact to our business on the tariff front. In our core pellet business, we're largely sourced domestically, and where we have had exposure to overseas providers, we've increased our inventory coverage to lock in price. So I don't see any significant direct exposure in the current year. And as far as the Nutri business, we've talked about it a little bit over time. Our e-commerce business has since we've taken over, we are seeing solid growth in that space. And I think what I could highlight here is that a good amount of that growth is centered around that one piece of the business. So solid performance to date. And, yeah, a continuation of what we started in August of last year.
Les Sulewski: Thank you.
Operator: Thank you. The next question comes from Jonna Kim with TD Cowen. Please go ahead.
Jonna Kim: Thank you for taking my question. Could you just elaborate a little bit on the decline in the volume from the base business and whether you think that will continue to improve as we move throughout the year? And when can we start to see some improvements from the realignment that you talked about today? Thank you very much.
Bret Christensen: Thanks, Jonna. I'll try to give as much color as I can on our procedure revenue. So you heard me mention earlier to Kaumil's question. It was mainly volume-related. So I'll hit that again real quick. Two real components there. The contribution from new starts, which has been lower. And I'm sure everybody's clear on that as we talked about it a lot. And so most of what we did today in the restructure, the realignment, in the new start of what we're doing at biote Corp. is really aimed at that, at growing new starts. The other components though, you know, we get a lot of volume from our base business. And while attrition has been fairly stable, there might have been a slight uptick in attrition this past quarter that we believe is temporary. And we do believe that attrition will stabilize and be a constant around 5%. There was also a small contribution to selective ASP declines that were concessions due to CDSS in the field. And so those are the components, of course, always the components of an annuity model is volume, the contribution you get from new starts, and any changes to ASP. What we've been really good at is keeping ASP and attrition relatively constant. And that's why you'll hear us talk over and over again about the effort to increase new starts in the field.
Jonna Kim: Got it. And any softness you're seeing from the consumer side from any macro headwinds at this point?
Bret Christensen: Jonna, we don't typically see too much softness as far as price sensitivity, if that's what you're referring to. It's really hard to gauge. I mentioned that there was a slight decline in volume in our existing business. But we do believe that is related to the launch of CDSS last year. Nothing even anecdotally that I could comment on as far as macro effects and pricing sensitivity.
Jonna Kim: Got it. Thank you very much.
Operator: Thank you. The next question comes from Jeff Van Sinderen with B. Riley. Please go ahead.
Jeff Van Sinderen: Great. Hi, everyone. Bret, I wonder given that you've been there for a quarter or so, can you speak a little bit more about what you've learned on a granular level to the degree that you feel comfortable doing that? And kind of what the specific inefficiencies are that you've uncovered outside of the CDSS? And I guess also what steps you might take to turn around the new clinic additions? What other steps you might take to get those ramps back up again and get procedure growth up?
Bret Christensen: Sure, Jeff. I'll start with the first one, just sort of what I've learned. Guess how I would describe that is I've really gained just clarity on some of what I highlighted in the call from Q4. And in Q4, I highlighted the amazing opportunity that brought me to biote Corp., the massive TAM, the really underpenetrated marketplace. As far as physicians that are both utilizing testosterone therapy but also the nutraceuticals that we offer. And, you know, just the need for better execution as an organization to capture more of that TAM. And so I would say what's changed since that call is I've just gained more clarity in exactly what we need to do to get there. The restructure that we announced today, it took place this week, is step one. It's not the answer. It's step one to the answer of a real culture shift in the organization. Where the entire company is focused on growth. We are a company, and this sort of gets to the second part of your question here. We were a company that had a fantastic start. And when you start from zero, you grow territories to the point where it's tough to grow them. And this is where structure and comp plans and those types of things come into play where you've got to split territories, got to make sure you've got incentives that don't penalize sales reps for getting their territory split. You need a comp plan that is really focused on growth and less on maintaining the base. And then, of course, you need the right messaging to communicate the value proposition that we're offering to our customers, which isn't just products. It is the training, the education, the systems, everything we do to help clinicians practice build. We're the only ones in the marketplace doing this. Others are going around and competing on price. So I've got a lot of clarity into one, the value that biote Corp. offers, and I think it's fantastic. And I couldn't be more optimistic about the long-term prospects here. But two, just what we need to do with the short term. This year. As we highlighted, this year is a transition year for us. So we're making a lot of changes here. Some of them are disruptive. All of them will be good for the long term. And what we're just trying to assess now is when we'll start to see the results of those changes. But I know what a strong commercial organization looks like and those elements. We're slowly putting those places, those things into place. But the restructure this week was paramount in the start of what we're doing.
Jeff Van Sinderen: Okay. Good to hear. And then not to beat a dead horse, does help with the business, but I guess I'm just trying to reconcile a little bit here. Very strong in the quarter. It doesn't sound like any one-time items. But I think your guidance is baking in kind of a sequentially slower growth there. Can you remind us of the year-over-year comparisons? Maybe that's the major thing. Just trying to understand, you know, why that business would slow down sequentially as far as the growth.
Bob Peterson: No. I think what we've said in the past is that we would have a 5% to 10% growth from a guide perspective. And what we're seeing now is we are in the, as we were just mentioning on a prior question, we're in the earlier phases of this with our e-commerce platform. And as we get throughout the remainder of the year, we will start lapping solid performance in the e-commerce space, which would potentially drive us lower. But yes, the performance that we saw in Q1 was solid in that space.
Jeff Van Sinderen: Okay. So just to clarify there, the comparisons get tougher, and is it Q3 and Q4? I just wasn't sure on the time.
Bob Peterson: In the second half of the year as we started onboarding Amazon.
Jeff Van Sinderen: Okay. Okay. Fair enough. Thank you for taking my questions.
Bob Peterson: Of course.
Operator: Thank you. The next question comes from George Kelly with Roth Capital Partners. Please go ahead.
George Kelly: Hey, everybody. Thanks for taking my questions. Just a couple for you. First, on Asteria, I was curious if you plan over the course of 2025 to grow penetration, and where might you sort of end the year? And I guess secondarily, have there been issues with ramping production there?
Bob Peterson: No. And in fact, our inventory levels are at solid points. So we've not had any issues from an Asteria perspective. I can tell you our focus right now has been on smooth transition and the focus on not disrupting the clinic. We do have a plan to expand further in the remaining months of the year. And we have that baked into our guide. So we will continue to expand in this arena throughout the remainder of the year just in a tempered fashion.
George Kelly: Okay. Understood. And then second question, on your 2025 guide for procedure revenue growth. I think it's plus 2% to 4%. Just curious what gives you confidence in that guide. It's been a pretty steady deceleration for, I don't know, a year and a half, two years now. And including in the first quarter with it being negative. So I'm just wondering what is it, can you help sort of give us confidence that you see that reversing? And perhaps what have you seen so far in Q2 and April?
Bob Peterson: So let me give you an overview and, Bret, feel free to add. So as Bret said, we've taken decisive action and we're changing a lot on the commercial team. We know what we need to do to drive new penetrations, new customer penetrations, new monitoring, and filling our clinic pipeline, maximizing the value from our top-tier providers. And we have line of sight into the actions that are needed. So let's just level set there. As shared, we expect a slower start in the first half of the year as we shared. As we start to reinvigorate that customer new customer volume in this annuity model. We know that this is going to be a bit of a transition year in the space. And we believe that we will begin to see the benefits of this restructure in the latter half of the year as we begin to drive the culture of accountability and growth. Look, to your question, to be pretty direct, is there a potential risk around the 2% to 4% procedure revenue growth? The answer is yes. And we recognize that certain actions have to go to plan to achieve that 2% to 4% procedure revenue growth. But that said, we are confident overall on the overall guide for the year on revenue and EBITDA. Just and maybe, Bret, if you wanted to add anything to the key facets that we want to achieve.
Bret Christensen: Yeah. George, you heard me talk quite a bit about what we're doing to change each of those components in the annuity model. Volume, ASP, attrition, we're confident in each of those. What's really difficult to predict at this moment is just how quickly we'll see results from all the changes that we're making. We're going to learn a lot over the next quarter. Maybe not in the form of results that we'll report. However, there's a lot of early indicators into what we're doing here, including training volumes, training classes, new starts coming on board. Those things we'll see before we'll report revenue on an increase in procedure growth. So we're confident in the changes we're making, and it's difficult to project when you'll start to see revenue change materially from the changes. But as Bob said, we're comfortable in the top line overall, and there will be pressure on the 2% to 4%. We definitely see line of sight to get there.
George Kelly: Okay. Thank you.
Operator: Thank you. This concludes our question and answer session. I would now like to turn the call back over to Bret Christensen for closing remarks.
Bret Christensen: Thank you, everyone, for joining us today. We appreciate your interest in biote Corp. and look forward to speaking with you on our next conference call.
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect your lines.